Operator: Thank you for standing by, and welcome to the Curbline Fourth Quarter 2025 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star. If you would like to withdraw your question, again, star one. Thank you. I'd now like to turn the call over to Stephanie Rosteperez, Vice President of Capital Markets. You may begin. Thank you.
Stephanie Rosteperez: Good morning, and welcome to Curbline Properties fourth quarter 2025 earnings conference call. Joining me today are Chief Executive Officer, David Lukes, and Chief Financial Officer, Conor Fennerty. In addition to the press release distributed this morning, we have posted our quarterly financial supplement and slide presentation on our website, at curbline.com, which are intended to support our prepared remarks during today's call. Please be aware that certain of our statements today may contain forward-looking statements within the meaning of federal securities laws. These forward-looking statements are subject to risks and uncertainties, and actual results may differ materially from our forward-looking statements. Additional information may be found in our earnings press release and our filings with the SEC, including our most recent reports on Forms 10-K and 10-Q. In addition, we will be discussing non-GAAP financial measures on today's call, including FFO, operating FFO, and same property net operating income. Descriptions and reconciliations of these non-GAAP financial measures to the most directly comparable GAAP measures can be found in today's quarterly financial supplement and investor presentation. At this time, it is my pleasure to introduce our Chief Executive Officer, David Lukes.
David Lukes: Good morning, and welcome to Curbline Properties fourth quarter conference call. The fourth quarter capped an incredible first year as a public company for Curbline, and I could not be more pleased with our results. Let me start by thanking the entire team for their tireless efforts to position the company for outperformance. We continue to lead in this unique capital-efficient sector with a clear first-mover advantage as the only public company exclusively focused on acquiring top-tier convenience retail assets across the United States. Before Conor walks through the quarterly results and our 2026 guidance in detail, I'd like to take a moment to reflect on our first year as a public company along with our expectations going forward. In 2025, we acquired just under $800 million of assets, through a combination of individual acquisitions and portfolio deals. We signed over 400,000 square feet of new leases and renewals, with new lease spreads averaging 20% and our renewal spreads just under 10%. We generated over 3% same property growth on top of 5.8% growth the prior year. And importantly, our capital expenditures were just 7% of NOI, placing us among the most capital-efficient operators in the entire public REIT sector, an important hallmark of the convenience asset class. We believe that these results are not just reflective of a single year, but are representative of the asset class and the opportunities in front of us and help explain our confidence in delivering superior risk-adjusted returns. Specifically, one, we believe that there remains a significant addressable investment market that provides an opportunity to scale this business. Two, we believe that the convenient sector with simple and flexible buildings is aligned with consumer behavior. And three, we believe that we have the team and the balance sheet to support our growth and drive compelling returns. In a little more detail, first, our investments. We believe we currently own the largest high-quality portfolio of convenience properties in the US, totaling almost 5 million square feet. The total US market for this asset class is 950 million square feet, 190 times larger than our current footprint. Not all of that inventory meets our standards, but our criteria are clear: primary corridors, strong demographics, high traffic counts, and creditworthy tenants. And our track record demonstrates the liquidity of assets that match those, allowing us to grow via a mixture of one-off deals and portfolios while maintaining our industry leadership by acquiring only the best real estate. Even the top quartile of the convenience sector itself is 50 times larger than our current portfolio, providing a very long runway to grow. To achieve this growth in a highly fragmented sector, the company must build a significant network of relationships with sellers and brokers across our target markets. We've built that organization over the past seven years, and the results are showing. As an example, of the $1 billion of acquisitions we've completed since the spin-off of Curbline, 27% of those deals were direct and off-market with sellers, and 73% were marketed through the brokerage community. Even within those marketed deals, there were 24 different brokerage companies involved in the listing of individual properties, which highlights not only the highly fractured market but the importance of a national network of relationships that Curbline has built. Second, we invest in simple, flexible buildings that are the nexus of consumer behavior. Our strategy is clear: provide convenient access to customers running errands woven into their daily lives and leased to tenants with strong credit who are willing to pay top rent to access those customers. Unlike traditional shopping centers built for destination retailers, our properties serve customers running daily errands. According to third-party geolocation data, two-thirds of our visitors stay less than seven minutes on our properties, often returning multiple times a day. As a result, rather than purpose-built structures, we favor straightforward rows of shops that support a wide variety of uses. This flexibility drives tenant demand from an extremely wide pool of tenants, rising rents, and minimal capital outlay. On page 13 of our supplemental, you'll notice that we completed a total of 67 new leases over the course of 2025. 64 of those leases were with unique tenants, and 70% were national credit operators, both of which highlight the incredibly deep market for leasing to a wide variety of uses in our simple buildings and that credit tenants are seeking high-traffic intersections. The result for our portfolio is a highly diversified tenant base with only nine tenants contributing more than 1% of base rent and only one tenant more than 2%. Third, our team and our balance sheet are built to support our growth and structured to scale. Curbline has all of the pieces on hand to generate double-digit cash flow growth for a number of years to come. Based on our 2026 FFO guidance, we're forecasting 12% year-over-year FFO growth, which is well above the REIT sector average and is driven not just by external growth but by the capital efficiency of the business allowing us to reinvest, retain cash flow, into additional investments. In summary, I couldn't be more optimistic about the opportunity ahead for Curbline as we exclusively focus on scaling the fragmented convenience marketplace and delivering compelling, relative, and absolute growth for stakeholders. And with that, I'll turn it over to Conor.
Conor Fennerty: Thanks, David. I'll start with fourth quarter earnings and operating metrics before shifting to the company's 2026 guidance and then concluding with the balance sheet. Fourth quarter results were ahead of budget largely due to higher than forecast NOI driven in part by rent commencement timing, along with higher acquisition volume and lease termination fees partially offset by G&A. NOI was up 16% sequentially, and almost 60% year over year driven by acquisitions along with organic growth. Outside of the quarterly operational outperformance, there are no other material variances for the quarter, highlighting the simplicity of the Curbline income statement and business plan. Will note that in the fourth quarter, we recorded a gross up of $1 million of noncash G&A expense, which was offset by $1 million of noncash other income. This gross up, which is a function of the shared services agreement, and nets to zero net income will continue as long as the agreement is in place and is excluded from any G&A figures or targets. In terms of other operating metrics, the lease rate was unchanged from the third quarter, at 96.7%, with occupancy up 20 basis points. Leasing volume in the fourth quarter decelerated from the third quarter but that is simply a function of less available space as overall leasing activity remains elevated. We remain encouraged by the depth of demand and the economics for available space, which we believe is a differentiator for Curbline as compared to other property types. Same property NOI was up 3.3% for the full year, and 1.5% for the fourth quarter despite a 50 basis point headwind from uncollectible revenue. Importantly, this growth was generated by limited capital expenditures, with fourth quarter CapEx as a percentage of NOI of 8.9% and full year CapEx as a percentage of NOI of just under 7%. Moving to our outlook for 2026. We are introducing FFO guidance a range between $1.17 and $1.21 per share which at the midpoint represents 12% growth. We believe that this level of growth will be the highest certainly in the retail space, and amongst the highest in the entire REIT sector. Underpinning the midpoint of the range is one, roughly $700 million of full year investments two, a 3.25% return on cash with interest income declining over the course of the year as cash is invested. Three, CapEx as a percentage of NOI of less than 10%. And four, G&A of roughly $32 million which includes fees paid to site centers as part of the shared services agreement. Those fees totaled $970,000 in the fourth quarter. In terms of same property NOI, we are forecasting growth of 3% at the midpoint in 2026. As I have noted previously, the same property pool is growing but small. And it includes only assets owned for at least twelve months as of November 12/31/2025 resulting in a large non-same property pool. That said, we don't expect as large of a gap in terms of relative growth between the two pools in 2026. Though uncollectible revenue will remain a year-over-year headwind to the same property pool, despite limited forecast bad debt activity. Moving pieces between the 2025 and the 2026, as a result of the funding of the private placement offering in January interest expense is set to increase to about $8 million in the first quarter. Additionally, we do not expect the $1.3 million of lease termination fees recorded in the fourth quarter to reoccur in the first quarter. G&A is also expected to remain roughly flat quarter over quarter. Details on 2026 guidance and expectations can be found on page 11 of the earnings slides. Ending on the balance sheet, Curbline was spun off with a unique capital structure aligned with the company's business plan. In the fourth quarter, Curbline closed on the first tranche a $200 million private placement offering with the balance funding in January. The offering brings total debt capital raised since formation to $600 million at a weighted average rate of roughly 5%. Additionally, the fourth quarter and first quarter to date, the company sold 5.2 million shares on a forward basis with $120 million of expected gross proceeds which we expect to settle in 2026. Including cash on hand at year-end of $290 million along with the debt and equity proceeds, Curbline had $582 million immediate liquidity available to fund investments, leaving a balance of less than $100 million to fund the investments included in guidance after taking account retained cash flow. Curbline's proven access to unsecured fixed-rate debt and now the ATM is a key differentiator from the largely private buyer universe acquiring convenience properties. The net result of the capital markets activity since formation is that the company ended the year with a leverage ratio of less than 20% providing substantial dry powder and liquidity to continue to acquire assets. And scale resulting in significant earnings, and cash flow growth well in excess of the REIT average. With that, I'll turn it back to David.
David Lukes: Thank you, Conor. Operator, we are now ready to take questions.
Operator: Thank you. We will now begin the question and answer session. If you would like to ask a question, please press 1 on your telephone keypad. If you like to withdraw your question, simply press 1 again. Your first question today comes from the line of Ronald Kamdem from Morgan Stanley. Your line is open.
Ronald Kamdem: Hey. Thanks so much. Can you talk about the acquisition pipeline how it's building? And I know you mentioned $700 million in the guidance. What sort of cap rate is assumed into that and how has that been trending?
David Lukes: Good morning, Ron. It's David. I'll let Conor talk about the pipeline. But I would say cap rates have remained, averaging just north of 6% as they have the last couple of quarters. I'll remind you, as we've said in previous quarters, that the range can actually be quite wide between mid-fives to high sixes. That really depends a lot on occupancy, the rent roll, mark to market, and so forth. But when you blend all these deals together, we're still in low sixes.
Conor Fennerty: And, Ron, just on the pipeline. So as you know, our initial expectations prior to spin-off would require about $500 million of assets on an annual basis. Obviously, we've ramped that up quite a bit to $700 million this year. And at this point, for what we've either closed, under contract, or have been awarded, it's about half or we have visibility about half of that pipeline today. So there's quite a bit of visibility on closings for 2026 already. Only thing I would just caveat is there's risk to that, right, until they get through diligence. On each of those assets. But, again, I just would frame it versus either even a year ago have a much higher level of visibility on the pipeline today than we did at any point.
Ronald Kamdem: Great. My second question was just, I think the same store NOI had a tough comp. And it looks like leasing spreads decelerated a little bit. Maybe could you just talk a little bit more about what happened in the quarter? And then looking forward on the 3% same store NOI guidance, presumably, that's all sort of based on renewals and no occupancy gains. But any sort of other details was baked into that in terms of bad debt and so forth?
Conor Fennerty: Sure. It's Conor again, Ron. So on the leasing spreads first, you know, as I always caveat, I encourage folks to look at trailing twelve months just given how small a denominator is. And if we look at the pipeline for leasing activity in the first quarter and the second quarter of this year, would expect our newly spreads to be right back in the low twenties, which was where they were for the full year. And then I would say a similar comment on renewals. Look at TTM as opposed to just one quarter. For same property, similar response. Very small pool. We've got 50% of the assets are in the non-same store pool. So a couple shops moving out can create some volatility. It's clear that if you look at our lease rate, it's up year over year. It's effectively unchanged quarter over quarter. So the fewer spaces we got back in the fourth quarter have already leased, and we expect to rent commence in the second, third quarter for 2026. The only other thing I would just say on 2026 same property NOI it's a pretty wide range for all the reasons I just laid out of two to 4%. We do expect a pretty big acceleration over the course of the year. Because of the least occupied gap compressing. And again, that speaks to the fact that these releases just signed over the last couple months. Doesn't take a lot of it's it's a tighter timeline than a larger format center. To get those leases rent paying, which speaks to the to the property type, which is of the reasons we love it.
Ronald Kamdem: And that that sorry.
Conor Fennerty: Oh, yeah. Of course. Sorry. Bad debt, we've got about a 60 basis point bogey. For, the midpoint of guidance for the year. To put that in contrast or compare it to 2025. We had about 30 basis points of bad debt in 2025 for the same property pool. We are expecting a normalization. We're not seeing anything. That would cause us to expect year over year uptick, but it feels just a prudent base case for now, and we'll update that, obviously, as the course over the course of the year.
Ronald Kamdem: Helpful. That's it for me. Thank you.
David Lukes: You're welcome.
Operator: Your next question comes from the line of Floris Van Dijkum from Ladenburg Thalmann. Your line is open.
Floris Van Dijkum: Hey. Morning, guys. My question is maybe if you can talk a little bit about know, the operations. Your portfolio is big enough now where, you know, you've got some scale. Are you guys seeing any operating synergies by having multiple properties in single markets? I know you're big in Atlanta and Miami, for example. Maybe you can talk a little bit about how you know, if there's any additional synergies that you can squeeze out of having more assets in single markets?
David Lukes: Thanks for the question. I would say that the synergies, I would put them in two buckets. One is G&A. And, the expense to run a property, and the second is the more you have in a certain market, the more it allows you to have a little bit of a tighter cam pool. In both of those cases, there is some truth that, you know, scaling in certain markets does give you a little bit of leverage on both of those costs. But I will say that the recovery rate on this asset class is so high that it doesn't really flow through to same store NOI or total property performance as much. So I would say that the synergies are a nice to have, but they're not a must to have with how this property type operates.
Floris Van Dijkum: Yeah. Of course. It feels like the synergies are much more corporate-focused in the sense that you know, you're leveraging public company costs. And you're seeing that already as you look at just, you know, G&A as a percentage of GAV or G&A as a percentage of revenue. Maybe my follow-up in terms of capital allocation. Have you considered going I guess maybe there hasn't been a need to, but going into more value-add assets with higher vacancies or are you, you know, sticking to your knitting? Because you know, frankly, the market is telling you, go ahead and keep acquiring.
David Lukes: It's a great question, Floris. I'll probably back up by saying that it is interesting to see in the entire unanchored strip category that there are different strategies that are emerging. You know, some folks focus on value-add. Other folks focus on secondary markets. Some people like short wealth, no credit. I think you see that in other property types like, you know, student housing as a part of multifamily. You know, there are lots of examples you can point to. For us, if you think about where we are in the real estate cycle right now for retail, leasing demand is high. Occupancy is high, and rents are growing. And so when we look at our strategy of scaling convenience, I think the three risks that we really don't want to take are execution risk, credit risk, and capital risk. And if you add those three together, it just tells you that the returns we can get on an unlevered IRR basis for buying high-quality real estate that's very well leased with high credit tenants. It doesn't feel worth the risk to take in order to generate slightly higher IRRs. And so that strategy for us is allowing us to be very specific about which pieces of real estate we buy. And said differently, if you're buying high-quality real estate, it's most likely to outperform in a recession that's probably a strategy that I think investors would want to see us pursue.
Operator: Thanks, David. Your next question comes from the line of Craig Mailman from Citigroup. Line is open.
Craig Mailman: Hey, good morning, guys. I guess just the first one, On the $1.3 million lease term fees, could you just talk about that? And just in general, kind of how much we should think about these term fees in a given year just given you that that's kind of smaller spaces and you know, good credit at this point.
Conor Fennerty: It's really hard to hear you. Can you try that one more time?
Craig Mailman: Oh, sorry. Can you hear me now?
Conor Fennerty: Much marginally better. I think it was about term fees, Craig, and stop me in if you wouldn't mind repeating the question, though.
Craig Mailman: Yeah. Just on proceeds, could you just tell us what drove the $1.3 million in the quarter? And how we should think about kind of your Easter fees on a recurring basis? Just give us a little bit of a smaller portfolio and just in general, I said that you guys have better credit. Like, was this driven by you guys, or is this a tenant driven?
Conor Fennerty: Craig, okay. I'll take a stab in. Just let me know if I answered the questions. If you look at the last two years, we had just over $2 million in 2025 and just over $4 million in 2024. It does feel like and, again, if you look back in 2023 from our SEC filings pre-spin-off, that there have been some quarters where we've had chunky term fees. Some of those have been one tenant driving the entirety of the fee. Other times, they've been more fragmented. It does feel like it's a pretty I want to say recurring part of the business because of how chunky they are. But it does ex we do expect there to be kind of a normal level of term fees over the course of any particular year. I would expect that number to grow as the portfolio grows. To what's driving those, it could be a function of a number of different things. One, a tenant just deciding a space or a market doesn't work for them. Others where they go dark and paying and we come to agreement. The best thing about it, though, is to David's point, just given the economics of our business, more often than not, we wouldn't consider a term fee until it pays for the CapEx, the downtime, and most of more often than not, we're actually making money when we get those spaces back. And then the only thing I'd add is unlike a larger format or purpose of building where we gotta tear that down or spend a year repurposing that space, we generally can get a tenant back in between three and nine months. So for us, we think of it as almost like gravy. But, again, it's there's generally just a pretty wide range of reasons that drive them. It doesn't feel like it's one specific reason one specific tenant that drives the boat. Let me know if I answered your question. Would say, again, it's challenging to hear you.
Craig Mailman: Yeah. That is all. Is this better? I switched microphones.
Conor Fennerty: Yes.
Craig Mailman: Okay. Perfect. Sorry about that. But you did answer my question. I guess on the second question, just on kind of sources of capital, you guys are sitting on a good amount of cushion here. And, you know, net debt to EBITDA even without the forward is around one times. Could you just talk about going forward the thought process on incremental equity issuance versus kind of building out your ladder, becoming a more seasoned issuer, or potentially setting yourself up to become a more seasoned issuer to lower your cost of debt here. And just the decision to use the forward, I guess, versus spot. You know, that's a it's always good in hindsight, but the stock is, you know, close to eight, 9% higher than where you guys issued the forward. Earlier this quarter. So just talk in general on that. I know you guys are issuing at least above my NAV, so it's hard to complain. But it feels like speculating on this document, you left a little bit on the table.
Conor Fennerty: Sure, Craig. Well, a lot there to unpack. So I would just say starting with liquidity on hand. Have about $580 million of cash unsettled equity versus our target of $700 million investment. So to my comments from the transcript or from the opening remarks, excuse me, we only have about a $100 million funding gap for the remainder of the year. Which is pretty insignificant. We think about the enterprise value and the fact that we've got an undrawn line of credit behind that. So the question is, how do we think about sources and uses to kind of fill that gap? To your point, we now are a seasoned private placement issuer. We've got access to the bank market. We have a 0% secured debt ratio. We now have access on the ATM. It's a pretty wide range or a pretty broad menu we now have of options, as we think through. And I would just tell you the way we think about it is consistent with the way we thought about it at site centers and the way we thought about it last year plus where if equity at one point in time was accretive to the business plan, we would consider it. But we also like to your point to start to build up a market and build up a nice ladder on the private placement market, which we're already seeing compression in spreads as we continue to tap that market. So I would just tell you, it's a really wide range of menus of options, which is a fantastic spot to be. And over the course of the year, we'll decide what's the best path. But we just have I would just say, dramatic optionality just given where we are from a leverage perspective. Which is fantastic.
Craig Mailman: Great. Thank you.
Conor Fennerty: You're welcome. Thanks, Craig.
Operator: Next question comes from the line of Todd Thomas from KeyBanc Capital Markets. Your line is open.
Todd Thomas: Hi. Thanks. Good morning. I wanted to go back to acquisitions and some of the comments that you made about having visibility on around half of the $700 million factored into guidance. Are these all single you know, single off deals? Or are you seeing any portfolios included in the pipeline? And then is there a limit on the amount of volume that you can do in any given year? Are there any constraints either around your appetite or the amount that you might be able to achieve in terms of acquisitions?
David Lukes: Good morning, Todd. It's David. I would say that the first part of your question is that to date, our pipeline is almost exclusively actually, it is exclusively single asset acquisitions. So I would say this is the one at a time baseline. And I think, as you know, when we went public, we did have a question mark as how much of our deal flow was gonna be portfolios versus individual assets. I think what we found is the more of our G&A that we've allocated towards the transaction side of the business and the more people we've been able to move into the field and build relationships, the more deal flow has come to us. And I would say every quarter that goes by, we're starting to see more inventory that fits our criteria as opposed to simply sifting through all of the inventory that's on the market. It is a very, very large asset class. And the addressable market for us, even if you look at the top quartile, is still a significant amount of deal volume. So I would say our confidence that we can achieve a baseline of our budget simply doing one-off deals is pretty high. If portfolios do come up, I think it's great. I would say that, so far, portfolios have been episodic as opposed to kind of a normal quarterly run rate. And given the fact that there's so much inventory on the one-off, that fit all of our filters in terms of quality, I think we're less aggressive with having to stretch for portfolios that might have assets in them that we don't want. So I think that probably answers your question, but our confidence is really high that the individual brokerage community and the sellers are starting to approach us with deals that we really find attractive.
Todd Thomas: Okay. That's helpful. And then, wanted to just ask, it looked like there was perhaps a disposition in the quarter or perhaps something small. Just curious if you can discuss that. And it seems like there would not be really much in the way of dispositions just given your sort of designing and constructing the portfolio from scratch in some sense, but any sort of dispositions or, you know, kind of asset management you know, sort of associated activity that you're know, sort of anticipating in '26?
David Lukes: Yeah. Todd, it's David again. As we've said prior, you know, one of the benefits of building a portfolio one at a time is that you don't really have the need to recycle. We don't have in our budget any dispositions planned. Our business plan is not about recycling. We're purely based on buying things that we want to own over the long term. Every now and then from an asset management perspective, something might come up where it simply is better to sell it. In particular, the asset this last quarter, which was very small, happened to be adjacent to a property that site centers owned. They offered us a price to buy that asset that we thought was attractive because the cost to change out a tenant and do some work on it was such that we felt it was better to exit and sell to site centers. Site centers, on the other hand, felt like they got more liquidity from owning an adjacent parcel with the property that they're trying to sell. Again, it was quite small. It went to both boards for approval, which are separate boards as you know, but I don't expect this to be a recurring issue.
Conor Fennerty: Todd, just to expand that. It was a vacant piece of land. So today, this point is sub $2 million. And there's no nothing into the 2026 budget for further dispositions.
Todd Thomas: Okay. Great. Thank you.
David Lukes: Thanks, Todd.
Operator: Your next question comes from the line of Hong Zhang from JPMorgan. Your line is open.
Hong Zhang: Yeah. Hey. I guess I was wondering if you could talk a little bit about your expectations for the cadence of lease commencements this year.
Conor Fennerty: Sure, Hong. I guess I would respond by kind of giving the framework of same property NOI because they should go hand in hand. We do expect acceleration in the first quarter from the fourth quarter on same property. And then a modest deceleration in the second quarter, which is a comp on uncollectible revenue and just on some CapEx recovery items. Then to my response, I think it was to Floris earlier. Do expect a pretty big pickup in the back half of the year. From commencements of the spaces recapturing the fourth quarter. So I would expect that gap to compress in the same property to accelerate in the third and the fourth quarter.
Hong Zhang: Got it. Thank you.
Conor Fennerty: You're welcome.
Operator: Your next question comes from the line of Alexander Goldfarb from Piper Sandler. Your line is open.
Alexander Goldfarb: Hey. Good morning. So just following up on the capital questions. David, you've been speaking for some time about growth profile, the double-digit growth profile over a number of years. Your acquisition pace has been tremendous. And as Conor pointed out, there's no slowdown in deal flow. Does your, like, trajectory as you think about debt normalization, has that accelerated, meaning that instead previously, if you thought thinking maybe you had five years of runway before you get to debt normalization, maybe that's sooner, in which case that double-digit growth profile that you guys outlined may actually truncate? Or the way you see it, you still are fine for the next I think you talked about five years, where you can grow sort of in this double-digit way without, you know, capital events slowing that down?
David Lukes: Morning, Alex. It's David. I can turn it over to Conor for the long-term business plan, but I think the short story is accurate and that when we went public, we had a five-year business plan, and we had $500 million a year guidance what we thought we could do in the first year, and we obviously exceeded that last year. And I think our budget for this year is certainly higher as well. So I think by definition, that five-year business plan has compressed. On the other hand, I feel like the addressable market has also revealed itself to be surprisingly strong, and I think our reliance on portfolio deals has certainly gone down in our own minds. So the confidence that that cadence will continue is equally as high, but there's no question the business plan has been pulled forward a little bit.
Conor Fennerty: Yeah. Alex is expanding on that. I would say the two other significant variances would be one, we've outperformed dramatically on operations versus our initial expectations. Obviously has driven a higher level of EBITDA, more retained cash flow, which extends the timeline. To David's point, we've bought more quickly. Compresses it. And then the second thing is we've already issued some equity. And just given how small our denominator is, that equity issuance expands the pipeline. So whether the five-year business plan is now four and a half or, you know, four and a quarter, you know, I'm not sure, but there are other factors that have limited our near-term needs for equity. And, again, we just have so much optionality with the balance sheet that that runway is still pretty long today.
Alexander Goldfarb: Okay. And then the second question is, Conor. It seems like site is, you know, could well end up, you know, coming to an end, I guess, this year. Just that's our math. I don't want to put words in their company's face, or name. But, your 26 guidance does that contemplate sort of a complete wind down separation payment whatever resolution from site, or if something happens there, there would be some update to your guidance.
Conor Fennerty: Yeah. That's a good question, Alex. So we have assumed the status quo and guidance with no changes shared service agreement in 2026. Now as you know, though, if it's terminated by site on the two-year anniversary, would 10/01/2026, there'd be a pretty significant fee paid by site to curb which would more than offset, in our view, any expenses associated with the transition. So it would be a good guy of sorts if it did occur in 2026. Given that, to your point, it's a decision by independent board of site, and curb to terminate it, didn't feel it's appropriate to put in our budget, but it would be a good guy in any scenario.
Alexander Goldfarb: Okay. And just if I could just follow-up that. I know you're not giving '27 guidance but as we think about our '27, is there something that you would tell us to think about as we model '27, or you would just say, hey. Leave everything status quo right now and you know, we'll deal with that a year from now on the February call.
Conor Fennerty: It would be the latter in my opinion.
Alexander Goldfarb: Okay. Thank you.
David Lukes: You're welcome. Thanks, Alex.
Operator: Your next question comes from the line of Floris Van Dijkum from Ladenburg Thalmann. Your line is open.
Floris Van Dijkum: Hey, guys. It's a quick follow-up question that if you don't mind. I was just the site prompted something about your G&A. Maybe if you can talk a little bit about where what you think your G&A is gonna be on a going forward basis once, you know, the agreement is settled down and what needs to happen internally to make sure you're properly aligned?
Conor Fennerty: Sure, Floris. It's Conor. So, we mentioned prior to spin-off that we felt that Curb could be as, if not more efficient, than SITE as it relates to G&A as a percentage of GAV, which is how we look at expenses. That was about 1.1% or 1% of GAV. To Alex's question from a moment ago, what are some factors or things that have changed I would just tell you, one is operational performance. Two, we realized we could run this business more efficiently. And so as I mentioned in my prepared remarks, we're paying about $1 million per quarter to site. Effectively, what we've said to folks is that fee would essentially just be replaced by the cost that would come over from site once that agreement is terminated. So it's a long, inelegant way of saying feel like we've got great visibility. We spent an inordinate amount of time on the expense structure of CURB. I would just tell you, if we look back to versus two years ago, it is extremely it's more efficient. Our expectations will be more efficient today. It was pre-spin-off. Other than that, to Alex's point, once we have clarity on the exact timing of the resolution and termination of the SSA, provide the specifics, but I would just tell you we expect to run really efficiently pro forma for the termination.
Floris Van Dijkum: So but but one to one and a half percent of GAV is sort of a good benchmark?
Conor Fennerty: No. What I said was one to 1.1% of GAV. And what we're saying is, Curb, we expect to be more efficient than that.
Floris Van Dijkum: Got it. Got it. That was just after we deployed the $2.5 billion initial business plan. Once you get through that, then you really start to scale the expense. Coming back to your first question from the start of the call, then you really start to scale the corporate expenses. And that's where you start to generate pretty significant EBITDA growth.
Conor Fennerty: Thanks, Floris.
Operator: And we have reached the end of our question and answer session. I will now turn the call back over to David Lukes for closing remarks.
David Lukes: Thank you all very much for joining our call, and we look forward to speaking with you next quarter.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.